Operator: Good morning, ladies and gentlemen, and welcome to Grupo Cibest Bancolombia's Fourth Quarter 2025 Earnings Conference Call. My name is Carrie, and I will be your operator for today's call. [Operator Instructions] Please note that this conference is being recorded. Please note that this conference call will include forward-looking statements, including statements related to our future performance, capital position, credit-related expenses and credit losses. All forward-looking statements, whether made in this conference call and future filings, in press releases or verbally, address matters that involve risks and uncertainty. Consequently, there are factors that could cause actual results to differ materially from those indicated in such statements, including changes in general economic and business conditions, changes in currency exchange rates and interest rates, introduction of competing products by other companies, lack of acceptance of new products or services by our targeted clients, changes in business strategy and various other factors that we describe in our reports filed with the SEC. With us today is Mr. Juan Carlos Mora, Chief Executive Officer; Mr. Mauricio Botero Wolff, Chief Strategy and Financial Officer; Mr. Rodrigo Prieto, Chief Risk Officer; Mrs. Catalina Tobon, Investor Relations and Capital Markets Director; and Ms. Laura Clavijo, Chief Economist. I will now turn the call over to Mr. Juan Carlos Mora, Chief Executive Officer. Please go ahead.
Juan Uribe: Good morning, and welcome to Grupo Cibest Q4 conference call. Please turn to Slide 2. Even with fiscal difficulties and volatile markets caused by trade tariffs and geopolitical issues, Colombia experienced steady economic growth in 2025 largely driven by consumer spending and government expenditures. Raising public debt, uncertainty about minimum wage changes, potential new taxes and possible mandatory investments for financial institutions have recently worsened the macroeconomic outlook for 2026, leading to inflationary pressures, higher interest rates and expected weaker overall economic performance. Last year, Grupo Cibest's new holding structure improved our capital allocation enabling higher dividends, share buybacks and greater flexibility, as shown by Banistmo recent divestment. Furthermore, the agreement to sell Banistmo resulted in a noncash impairment charge and asset held for sale accounting during the quarter, which affected both quarterly and annual financial results, as will be detailed further. Thus, annual net income totaled COP 3.8 trillion and ROE reached 9.1%, reflecting the impact of the impairment. However, excluding this one-off accounting effect, Grupo Cibest will have delivered COP 7.3 trillion in net income, significantly exceeding its guidance, equivalent to an ROE of 17.2%. This performance was driven by strong operational results, resilient margins and improved asset quality. Moreover, given the significant progress achieved in our digital businesses, both Nequi and Wompi reached breakeven in the fourth quarter, another key milestone as these businesses complete our value proposal and are key drivers of Cibest's long-term returns. Also, yesterday, we announced to the market our proposed dividend to be submitted for shareholders' approval amounting to COP 4.3 trillion, equivalent to COP 4,512 per share to be paid on 4 installments starting April 1. Despite one-off effects from Banistmo divestment, the group achieved a 14.6% annual dividend growth exceeding inflation by over 950 basis points and boosting shareholder returns through its new corporate structure. Please proceed to Slide 3. The market has acknowledged the value generated by our transformation into Grupo Cibest as evidenced by the strong performance of our shares. This success further strengthens the credibility of our strategic road map. From the time the transaction was announced until the end of 2025, the common shares, preferred shares and ADRs have each shown impressive double-digit gains, 87%, 75% and 104%, respectively. These increases were mainly driven by major milestones: shareholders' approval of the holding company's, creation, the introduction of the share buyback program and subsequently Banistmo divestiture. When it comes to valuations, our price-to-book ratios have improved and our PE multiples now indicate increased market confidence and more optimistic outlook on our long-term profitability. Moreover, we are very pleased with the recent announcement of the inclusion of our common shares in the FTSE Large Cap Index, supported by the continued increase in the trading volumes. Please proceed to Slide 4. Regarding the share buyback program, as of December 31, approximately 32% of the total authorized amount has been executed, representing around 8.6 million shares or nearly 1% of our total shares outstanding. Of the repurchased shares, 53% were preferred shares, 40% were ADRs and 7% were common shares. Since the program began, we have observed an average appreciation of 37% across all 3 share types. I would like to emphasize that the program remains active, and its ongoing execution continues to be fully aligned with our strategic capital allocation plan, market conditions and each share class liquidity and capacity to absorb volume. I would now like to invite Laura Clavijo, Chief Economist to provide an overview of the macroeconomic landscape. Laura?
Laura Clavijo: Thank you, Juan Carlos. If you could please turn to Slide 6. In 2025, the Colombian economy demonstrated moderate resilience with overall growth of 2.6% amid a complex macro environment marked by global uncertainty, domestic policy shifts and structural challenges. During the fourth quarter, real GDP growth of 2.3% underperformed against expectations, reflecting short-term strength in domestic demand, but structural weakness in investment and the external balance. Private consumption remains the primary driver of growth, supported by robust household spending, remittance flows and a surprisingly strong labor market. Demand in sectors such as retail, entertainment and financial services continue to thrive even as primary activities such as mining, agriculture and construction underperformed relative to broader economic activity. Public expenditure also favored economic momentum, increasing at an annual pace of almost 5% during the fourth quarter for an overall expansion of 4.5% during 2025. Public sector spending has come at the expense of a widening fiscal deficit of close to 6.3% of GDP and a primary deficit of 3.4%. The government has adamantly responded with emergency fiscal measures, including tax reforms, debt management operations, and regulatory efforts to support spending in the final leg of the administration and the ongoing electoral campaign. Inflationary pressures persisted throughout 2025, with the consumer price index missing the Central Bank's 3% target for fifth consecutive year. Inflation closed at 5.1% and expectations rose sharply at the end of the year, proving that a stable monetary policy rate was ineffective. Furthermore, expectations increased even further on the onset of the announcement of a historically high minimum wage of 23.7% for 2026. In response, Banco de la República initiated a hiking cycle by raising its policy rate in 100 basis points during its January meeting. Our updated view incorporates year-end inflation of 6.4% and a monetary policy rate that should rise at least 200 basis points and may undermine growth dynamics. In summary, Colombia's economy is poised for moderate growth in 2026, supported by resilient domestic demand, but remains exposed to inflationary pressure, rising interest rates and deteriorating fiscal and external balance. Boosting investment, both foreign and local, will be the key to unlocking better economic dynamics and stronger macro fundamentals that may prove challenging amidst political uncertainty. If you could please turn to Slide 7. In 2025, the Central American region delivered a moderate but solid economic performance with Guatemala and Panama among the fastest-growing economies in the subregion. According to World Bank estimates both Guatemala and Panama expanded GDP by approximately 3.8% and 4.1% in 2025, outpacing regional peers. El Salvador's growth was slightly more modest, around 2.8%, reflecting ongoing structural constraints and external vulnerability. Guatemala's diversified economic base supported resilient domestic demand, while Panama's performance was underpinned by services, logistics and trade sectors. El Salvador state was constrained by lower productivity and fiscal adjustments, though tourism and remittances provided important buffers. Overall, the outlook for 2026 remains constructive for investors with growth prospects supported by stable consumption, remittance flows and integration into regional value chains though careful monitoring of fiscal dynamics and external risks is warranted. Now please let me turn the presentation to Mauricio Botero, who will present Cibest 2025 performance.
Mauricio Botero Wolff: Thank you, Laura. Please go to Slide #9. Before we discuss our results, I would like to briefly explain the accounting impacts recorded in the fourth quarter given the recently announced agreement to sell 100% of Banistmo's shares to Inversiones Cuscatlán Centroamérica S.A. The transaction consists of an all-cash consideration of $1.4 billion, equivalent to a multiple of 17.1x earnings and 1.2x book value, triggering a onetime noncash net impairment charge of COP 3.4 trillion related to goodwill. Banistmo's operation had to be recognized as assets held for sale, meaning all assets and liabilities were reclassified, creating significant variations on the balance sheet compared to the previous quarter and previous year. Consistently, Banistmo's contribution was deducted from the P&L and net impact adjusted through net income from discontinued operations from fiscal year 2024 and 2025. However, to facilitate understanding, the year-over-year variations of the P&L items presented here are calculated based on the actual 2024 results, excluding the reclassification. Also, we provide a pro forma year-over-year variation assuming no reclassification on 2025 figures either. A set of balance sheet and P&L statements for both the fourth quarter and full year reflecting the required reclassifications as well as pro forma versions, excluding these effects, are available in the press release published yesterday and included in the appendix of this presentation. I just want to emphasize that the accounting impact did not affect the bank's capital ratios or the dividend flows to and from Cibest. Now please proceed to Slide #10. Our loan portfolio declined 8.3% over the year, mainly explained by the accounting impact, absent of which the growth would have been 2.1%. In addition, the 15% appreciation of the Colombian peso in the period reduced the value of our foreign currency portfolios when translated into local currency. Excluding both impacts, the loan book would have grown 7.2% year-over-year. When broken down by loan category, mortgages continued to lead growth. Consumer lending also regained momentum after 2 years of contraction, driven by a renewed risk appetite and by Nequi's continued expansion in low-value loans. Meanwhile, commercial lending grew at a more moderate pace, though it showed a slight pickup in the second half of the year in Colombia despite ongoing political uncertainty. Now please proceed to Slide 11. When analyzing performance by operations, Bancolombia in El Salvador led loan growth. Banco Agrícola delivered the strongest expansion with commercial lending accelerating sharply, particularly in the construction sector, supported by renewed demand for housing projects. Consumer activity was also positive, driven by personal loans in credit cards. Bam in Guatemala and Banistmo in Panama applied tighter credit standards, resulting in a more restrained lending dynamic during the year. Now please proceed to Slide #12. Our deposits reported a 5.2% contraction in the year, but expanded 4.5% absent of accounting impacts. If FX impact is removed, deposits growth would have been 10.2%. I would like to highlight the solid performance of savings accounts, which grew 16.1% net of accounting and foreign exchange effects. Deposit growth was very positive across all operations, with particularly strong contributions from Banco Agrícola and Bancolombia, which explains the group's robust liquidity position throughout the year. Now please proceed to Slide #13. In terms of our funding mix, we highlight the larger share of [ SA ] deposits relative to time deposits and other funding sources, which reduces funding costs and enhances structural liquidity. To a certain extent, this shift is the result of the reclassification of Banistmo that held a higher share of time deposits and other liabilities relative to other banks of the group, but also given the strong growth on savings accounts across Colombia, El Salvador and Guatemala such that this now represents 47% of total deposits on a consolidated basis compared with 40% a year earlier. This outcome clearly underscores our ability to attract and retain stable low-cost funding, reducing the overall cost of liabilities to 3.8%, a decline of 114 basis points compared to the previous year. Now please proceed to Slide 14. Net interest income decreased by 5.3% on an annual basis, but recorded a 1% expansion excluding accounting impacts. Such increase is the result of a larger contraction in interest expense relative to interest income during the year, supported by a series of hedging strategies that allowed us to reprice funding more quickly as rates came down. The annual NIM decreased, as expected, from 6.8% to 6.5%, excluding accounting impacts, given the lower prevailing interest rates compared to the previous year. When broken down by entity, it is worth noting Banco Agrícola's consistent NIM expansion due to its well-balanced growth, both in high-yielding loans and low-cost deposits. Please proceed to Slide 15. Net fee income increased by 4.3% year-over-year or 10.4% excluding accounting impacts. This strong performance was fueled by higher transactional activity in credit and debit cards, mainly supported by a new bancassurance alliance in Colombia. In addition, brokerage, payments and collections and trust services continued to perform well, reflecting a well-diversified noninterest revenue mix. While fee-related expenses increased in line with higher activity levels, particularly in card-related services, we continue to capture operational efficiencies, especially through adjustments in the corresponding banking model. Overall, fee income continues to be key for our earnings diversification, and it represented 18.4% of our total net operating income in 2025. Please proceed to Slide 16. Moreover, I would like to highlight the solid progress we are making in scaling our complementary businesses, which play a key role in strengthening our group's competitive advantage by combining the best of traditional banking with the innovation of our digital solutions. Wompi achieved a major milestone by reaching breakeven in 2025, supported by strong growth in clients, transaction volumes and fee income. This expansion in revenues outpaced operating expenses, enabling the company to reach profitability. On the other hand, Wenia continued advancing steadily supported by growth in onboarded clients, assets under custody as well as a sharp increase in transactions that reinforces its compelling value proposition. Finally, regarding Nequi, I'm pleased to share that it reached breakeven in the fourth quarter earlier than expected, driven by strong growth and deeper monetization across its ecosystem, which I briefly discuss next. Please proceed to Slide 17. Nequi's loan portfolio scaled significantly, increasing 174% over the period to reach a balance of COP 1.6 trillion, surpassing the goal of doubling the loan portfolio by 2025. As of year-end, 700,000 clients held active loans, reflecting an average ticket size of COP 2.3 million in an average term of 32 months. The 90-day past-due loan for 2025 stands at 3.5% and the cost of risk remains contained at 13.1%, aligned with a scalable digital origination model. Deposits show similar momentum, up 58% year-over-year to COP 7 trillion in the fourth quarter of 2025, reinforcing Nequi's role as a leading digital savings and transactional platform, still with room in its loan-to-deposit ratio to further expand the loan portfolio. On the revenue side, financial income increased 75%, supported by strong portfolio growth and a more balanced mix between low income and investment income, positioning Nequi for continued improvement in structural profitability. Please proceed to Slide 18. Moreover, it closed 2025 with 27.4 million users in an activity ratio close to 80%, demonstrating a strong client engagement. Also monetized users rose 43% to 16.5 million, driven by deeper product adoption across the ecosystem. Regarding fee income, Nequi delivered a 53% increase versus the prior year, reaching COP 175 billion in the fourth quarter of 2025. We diversified growth across cards, withdrawals and FX, reducing concentration risk and enhancing resilience. Consistently, ARPAC and CTS metrics remain with positive trends, supporting a disciplined path toward profitability as monetization expands in line with customer engagement. Finally, looking ahead to 2025, guidance remains strong with total users expected to grow 5%, loans expanding 50%, deposits increasing 10% and total income rising 40%, reinforcing each strategic relevance and long-term value creation potential within the group. Please proceed to Slide 19. Net provisions for the year amounted to COP 4.4 trillion, an almost 19% reduction over the year, 16% excluding accounting impacts on the back of lower expected losses related to consumer and SMEs that offset the growth on corporates given the deterioration recorded of a few nonsector related groups. The group performance on almost all segments more than compensated for the increase in provisions recorded at the end of the year, given the sudden change in macro variables discussed earlier, which exerts pressure on households and enterprises disposable income. Thus, the annual cost of risk was 1.8%, which, absent of the deduction of Banistmo's assets, would have been 1.6%, in line with our updated guidance. Please proceed to Slide 20. Consistent with the lower expected losses that drove net provision charges down, asset quality strengthened steadily throughout the year across all major indicators. From a past-due loan formation standpoint, the volume of loans becoming delinquent during the period declined significantly versus historical averages, led primarily by improvements in the consumer portfolio. In line with this trend, both the stage distribution and the nonperforming loan ratio improved, reinforcing provision coverage levels. Please proceed to Slide 21. The operating expenses increased by 1.6% year-over-year or 8.3% excluding the accounting impacts. General expenses increased primarily due to licensing and technology-related costs associated with the group's ongoing business transformation, followed by an uptick in other taxes stemming from the incorporation of Grupo Cibest. Personnel expenses increased 2.3% year-over-year or 10%, excluding accounting impacts, primarily driven by the annual adjustment in higher bonus provisions aligned with the full year financial results forecast. The cost-to-income ratio reached 49.8%, in line with our updated guidance, reflecting a slower pace of income growth relative to expenses explained by the NIM reduction as expected. Please turn to Slide 22. Net income for the year was COP 3.8 trillion, which, absent of the one-off accounting impact, would have reached COP 7.3 trillion, reflecting the strength of our operation even outperforming our updated guidance. As a result, consolidated ROE was 9.1% or 17.2% absent of impacts, primarily pushed by Bancolombia's stand-alone pro forma return of 24%. Please turn to Slide 23. Shareholders' equity fell 8.7% year-over-year, 1% absent of impact, explained by a reduction of retained earnings driven by the net impact of the impairment charge discussed above. On the other hand, Bancolombia's stand-alone core equity Tier 1 ratio closed at 12.2%, an increase of 27 basis points over the 2024 year-end pro forma figure, assuming the corporate evolution into Grupo Cibest has already taken place. I would also like to highlight the significantly lower CET1 deductions recorded during the year, only 7 bps compared to nearly 70 bps in 2024 as the goodwill from the Central American bank was no longer required to be deducted. All in all, Bancolombia's stand-alone total solvency reached 14.4% and Banco Agrícola and BAM above 13.5%, all of them available well above minimum requirements. These sound capital ratios, coupled with a low double leverage of 101% in Grupo Cibest allowed us to propose the 60% dividend payout ratio discussed earlier. With this, I will now hand the presentation back to Juan Carlos. Juan?
Juan Uribe: Thank you, Mauricio. Please proceed to Slide 24. By 2025, Grupo Cibest had originated COP 370 trillion in loans through its business with purpose strategy, progressing towards the COP 716 trillion target for 2030. In the latest, Dow Jones Sustainability Index evaluation, Grupo Cibest achieved a score of 88 points, which is higher than the last year's result. Banco Agrícola has been recognized as the organization with a high reputation in El Salvador, while Bancolombia has received equivalent recognition in Colombia for the 11th consecutive year. Please proceed to Slide 26. Our 2026 forecast now incorporates major shifts in our macroeconomic expectations, especially regarding inflation and interest rates. It also accounts for the impact of the Banistmo deconsolidation and increased uncertainty largely due to higher taxes compared to our earlier assumptions. In this context, we anticipate loan growth in the range of 7% to 8%, with a net interest margin expected between 6.8% and 7%, reflecting the current higher interest rate environment. The cost of risk is projected to be between 1.6% and 1.8%, while operational efficiency is targeted at approximately 49%. As a result, ROE is expected to be between 18% and 18.5%. Now please proceed to Slide 27 for some final remarks. In conclusion, I wish to emphasize that 2025 represent a pivotal year for the group, characterized by an effective implementation of our corporate transformation, the initiation of our share repurchase program and the agreement regarding the Banistmo divestment. Collectively, these actions demonstrate our continued dedication to generating sustained value for our shareholders. Looking ahead, although fiscal deficit challenges persist, the prevailing high interest rate environment offers potential for marginal improvement, which could offset weaker loan demand and emerging credit risks. We are confident that the electoral process will be conducted smoothly strengthening our positive environment for operations. This concludes our presentation for today. We welcome any questions you may have at this point.
Operator: [Operator Instructions] And our first question will come from Tito Labarta with Goldman Sachs.
Daer Labarta: My question I guess, is on the outlook for asset quality and the cost of risk guidance, right? I mean I think short term, things are going well, but inflation remains high, interest rates are high. Juan Carlos, you mentioned the potential asset quality risk. How are you seeing asset quality? And what do you think the risks are given this continued high inflation, high level of rates? And could that put maybe some pressure on cost of risk or asset quality throughout the year or into next year?
Juan Uribe: Thank you, Tito. Definitely, the cost of risk is something that we will need to manage during this year. It's a year in which we will have some challenges -- sorry. Sorry for that. And you mentioned some of them. Inflation is one of them and also, as a consequence, interest rates. But we believe that we are well prepared to manage that uncertainty that is coming in the economy. So our guidance regarding cost of risk includes those challenges that we have in front of us. So we are very well aware that there will be macroeconomic challenges. But again, we think that in the guidance that we are providing, we are incorporating our capacity to manage those risks. In the upper level, which is 1.8% of cost of risk, we are incorporated some of those risks that we see. But even though those risks, we believe that there are opportunities the Colombian economy has shown so far that could manage some of those risks, particularly coming from consumption that it's fueling that development. So Tito, definitely is something that we are going to watch very closely and we will continue updating how are we seeing the forecast of the cost of risk, but we are confident that with the tools that we have, the understanding that we have of the economy, we can react fast to any upcoming risk and adapt our models and our behavior to those risks, Tito.
Daer Labarta: Second question, if I may, just in terms of capital allocation, right? I mean ROE has been doing better than expected. All the underlying banks are fairly well capitalized. You have been executing on your buyback, but I think there could potentially be room for more. How do you think, one, either about additional buybacks once this program is completed? And two, just I think the market, as you highlight, the sale of Banistmo has been well received. You still have Banco Agromercantil, which is just relatively underperforming from an ROE perspective. I liked that charts that you showed, lower NIM, higher NPLs. How do you think about just the capital allocation into Banco Agromercantil, which has been underperforming a bit? Could there be more sales here? Or do you see room to improve that? And how much could you improve that?
Juan Uribe: Tito, what we achieved with the creation of Grupo Cibest was a lot of the ability to manage our capital in a much better way. So now we have much more flexibility. And we are aware of the possibilities that we have. So we will continue managing capital to be very efficient in the sense that we will utilize that capital for growth, but also to return to shareholders, depending on the situation. Regarding to your specific comment about BAM, I want to emphasize that we are committed to continue supporting the opposition in Guatemala. We see very good potential in that operation. It's a country with the good macroeconomic stability with potential for commercial businesses. And so we will -- we are confident that our model will create a positive impact on our operation in Guatemala. So we will continue supporting the operation. And we are confident that the numbers that you mentioned will continue improving. We are targeting double-digit ROE. It will take some time. We are aware of that, that the year for -- the performance of BAM will show its results or full year results in 2027. We are on a transition to have those numbers that we are looking for. But again, we are very confident about how we can develop that franchise in Guatemala. I don't know, Mauricio, if you have any additional comments to Tito's question.
Mauricio Botero Wolff: Tito, I would just add that due to the flexibility we have now with the new corporate structure, and with the level of capital and liquidity we're going to have in -- at the holding level, we're going to be optimizing the capital of the different operations. So we expect to do some -- to issue some instruments inside the perimeter of the holding in order to have some flow of capital going from the holding to the operating entities and the operating entities flowing dividends to the holding company. So that's going to be one way to capitalize -- to optimize capital allocation along with investments we plan to do. We want to capitalize Nequi. We're going to capitalize Wompi and Wenia, which are having very good dynamics. And we're also going to be investing in IT projects that you know are making a big difference in our value proposal. So we plan to do all of that. And only to wrap up, the buyback program will be there, is here to stay. We're going to present a 3-year buyback program, but we are only going to execute according to market conditions.
Operator: Our next question comes from Yuri Fernandes with JPMorgan.
Yuri Fernandes: Congrats on the year. I have a -- I will ask just 2 questions here regarding the guidance and the outlook for 2026. The first one is regarding taxes. We saw some, I'm not sure if I can call that one-off, but COP 150 billion tax headwind in the fourth quarter. So just asking your view, like should we continue to see this emergency tax into 2026? And what was the tax rate that the guidance was built with? Like are you assuming like a higher tax rate? And if yes, what? I'm just trying to understand the taxes moving pieces. And then I have a question regarding the ROE for the year, 18% to 18.5%. I know the guidance is fully done without Banistmo. So I would assume that you are also using the lower equity, right, the equity with lower impairment and ex-minority. So just checking what was the equity that you are implying so we can kind of estimate the net income because basically, the average equity for 2025 was higher, right, than the end of period. So just checking here for us to try to estimate the net income growth.
Juan Uribe: Thank you, Yuri. Let me give you some general comments about your 2 questions and then pass Mauricio for comments -- for additional comments. Taxes -- reading taxes at this point in Colombia is very difficult. I mean, you know that at the end of the year, there was -- there were some regulations regarding taxes that in February were suspended by the constitutional court. So those taxes that incorporated additional income tax for financial institutions is now suspended. And it is awaiting for the final decision from the constitutional court. So what we did at the end of 2025 was incorporating the information that we had at that moment. So in the fourth quarter, we have around COP 150 trillion -- billion, I'm sorry, in which we are -- with the information that we had at that moment, we were in fourth quarter, there is a provision about additional taxes. So now there is another regulation that is in progress. We don't have the information yet. It has been informal or some messages from the government that will incorporate some equity taxes. And they are saying that probably we'll have tariff for financial institutions, but we don't have that information yet. It's supposed to come out this week. So it's difficult to wait at this moment how are we going, or what are going to be the effective taxes for 2025 in Colombia? With that scenario, what we have for our guidance is an effective tax rate of 28% that we believe reflects the current information that we have. Once we have more information, we will incorporate additional information -- I'm sorry, about how are going to be the effective taxes for '25. Regarding your question about ROE, I will pass it to Mauricio.
Mauricio Botero Wolff: Thank you, just to be very clear with the message that Juan Carlos just passed, the tax rate with which we projected our guidance in regular operations is the one that he just mentioned is 29%, it moves from 28% to 30%. Now we included extra taxes because of the extra tax rate because of the decrease that was on the table that, as you know, has not been confirmed, but I guess my message here is our guidance of 18% to 18.5% does include extra taxes because of the extra tax rate, which was the information we have at the moment, we built the guidance. The new decree, the one on the equity has not been included. So the message here is very unlikely that both of the decrees are accepted regardless of which one is accepted or confirmed. It's important to note that the guidance does include extra provisions for taxes. Now to your second point, around the equity used for the guidance, it is the equity after the impairment. So to do your math, the 18% ROE corresponds to a net income of COP 7.3 trillion. So it's flat in terms of net income as compared to 2025, but without Banistmo, without Banistmo's equity and without Banistmo's net income.
Yuri Fernandes: Super clear, Mauricio and Juan Carlos. So basically, the guidance, I would say, is in between on tax rate? It's very hard, as Juan Carlos mentioned, to have a view, a lot of uncertainty. So you have some of the decrees, not the true decrees. So let's say, above case none of those decrees will prevail, there is an upside risk to the guidance on taxes. If the second decree prevails and the first decree also prevails, then there could be a downside risk to the guidance on higher taxes. That's basically the message, right?
Mauricio Botero Wolff: That is correct, Yuri.
Juan Uribe: That's correct.
Operator: We'll go next to Andres Soto with Santander Mexico.
Andres Soto: My question is again regarding guidance. I would like to understand if you are assuming 11% policy rate and actually expectations are quickly moving higher than that, will that imply that you will need to do another model update down the road and build additional provisions? And if so, is that a downside risk to your guidance and also considering the uncertainties on taxes, it looks like that could be another potential headwind to your ROE in 2026. So I would like to understand what will be the factors that could balance out in order for you guys to reach this 18% to 18.5% ROE?
Juan Uribe: Thank you, Andres. The guidance that we've given to the market, it incorporates the information that we have at this point. And you mentioned that, of course, interest rates are going up. That's a fact already the Central Bank increased the reference rate 100 basis points. And our view is that, that is going to continue. So that implies that interest rates will be higher in the economy, much higher. That -- as you know, we are asset sensitive and that is going to have a positive effect on our NIM. So that is the positive effect. The other side of the coin on that comment is that, that it's increasing the risk. So we will there have to balance that higher margin with a higher cost of risk. But we think in that equation, we are able to deliver the guidance that we are providing. So even with those risks and anticipating that behavior, we think that we are able to deliver the guidance that we are providing. So it's a year in which we will need very -- need to be following the development of the macro variables and also risk very, very closely, but we are confident that we have the tools to react fast enough to deliver the guidance that we are providing. Mauricio, do you have any additional comments?
Mauricio Botero Wolff: Yes, Andres. Taking into account that we have like a natural hedge on volumes and prices, volumes -- as prices go up because interest rates go up, volumes may go down, and that may be offset. So just to take into account that we have -- we simulated some scenarios of interest rates going up to 12%. So that's why we use ranges in our guidance, not only in ROE, but also in cost of risk to consider both scenarios. Now in order to anticipate what could happen with an interest rate of -- with a high interest rate scenario, just wanted to let you know that we have already closed some risk brackets in consumer lending. So we already closed some of the origination risk profiles. And it's also good to take into account that we -- at the end of 2025, we anticipated 300,000 provisions considering the increase in the legal minimum wage because we knew -- when we included that into the models, we knew that, that could cause inflation pressures and interest rate increases. So we already have 300,000 of potential deterioration in our consumer portfolio. And also, we have, as you know, extra provisions for a specific corporate clients at the end of 2025. So if you put those things together, we feel very comfortable we can meet the target of cost of risk for 2026.
Andres Soto: Perfect. My second question is regarding capital deployment. Your double leverage stands at 101%. What is the level you guys feel comfortable with? And regarding the capital allocation priorities that you previously mentioned, including providing capital for your new ventures, can you please quantify how much capital are you planning to put into those subsidiaries?
Mauricio Botero Wolff: Yes, Andres, we plan to put around COP 600 billion in Nequi, around...
Juan Uribe: That's pesos, right?
Mauricio Botero Wolff: Yes, pesos. COP 50 billion to both Wenia and Wompi. We are investing a lot in IT organic projects. And according to the instruments I mentioned before, we plan to do at least COP trillion of AT1s from Bancolombia to Cibest and around $250 million from the Central American operations to Cibest. So that's the overall picture in terms of capital deployment. And I'm sorry, around the question of double levers. Yes, it's 101. Our limit according to conversation risk rating agencies is at 120. So we're using the capital, as I just mentioned, but it's important to know that we have approximately 20 percentage points of extra leverage if we would like.
Andres Soto: Thank you very much and congratulations on the results.
Operator: We'll go next to Ernesto Gabilondo with Bank of America.
Ernesto María Gabilondo Márquez: My first question will be on the political and economic outlook. So given the recent salary increase, how do you see the Congress election on March 8. And can you elaborate on the proposals of the 3 leading candidates for the next presidential election in May? And my second question is on operating expenses. I believe last time you mentioned OpEx growth should be around inflation, plus 200 basis points. So just wanted to know if that will be the case for this year? And if you are seeing any impact related to the recent salary increase in personnel costs? And also, if you can elaborate on how much of the OpEx growth will be on a recurring basis? And how much will be related to the technology cost, advertising all of what you are doing in Nequi, Wenia and Wompi?
Juan Uribe: Thank you, Ernesto. Let me elaborate a little bit on the political scenario. As you all maybe know, we are 2 weeks away of Congressional elections. And also, there are going to be 3 primaries in the same date, that's the 8th of March. It is difficult to try to predict how the Congress is going to evolve in this composition, but there are some facts that is important to take into account. There are going -- the 5 seats that were given on the peace process of 2016, now expire. So those 5 seats that were in the government coalition are not going to be there anymore, so there are 5 seats less and those seats were supporting the government. On the other hand, the composition of the several leading parties, at this point, there are some forecasts that, in the case of the parties that have had a coalition in this case opposing to this government will probably continue having a strong position. But again, at this point, it's very difficult to know. What we know is that probably the Senate will be -- will have a composition that is going to be very much balanced and probably with majority of coalition that is not supporting this government. That we have now. Regarding the propositions of the several candidates, there are -- I will just say that there are clear candidate from the left. And there is going to be a primary to elect another candidate from the left also. So we will have probably 2 candidates running on the first round representing the left. There is a coalition in the center, 9 candidates -- center right, 9 candidates, and we will have another strong candidate there. And there is a more far right candidate that is also strong. And the proposals are more are reflecting in what they are -- the way of thinking. The candidate from the left will continue on the peace process and will continue with a view of much strong government intervention. And the other candidates are more true, more rule of law and are strong position against violence and peace processes and much more friendly to private initiatives. So that's a summary. But we after March 8, we will have a much clear picture of who are the candidates with more possibilities on the first round. And also, we will have the information of what is the composition of the Congress. Regarding your second question, I will pass on to Mauricio to answer that question.
Mauricio Botero Wolff: Yes, Ernesto, the way to think about the OpEx growth is what we consider run the business would grow in line with inflation and what we consider change in the business, that's what is going to lead us to grow above inflation, 2 or 3 percentage points above inflation. So thinking about a growth of inflation plus 2 or 3 would be right. And in terms of the salary increase, we don't have any employees earning minimum wage. But we do have some vendors offering services that are tied to that salary. So we may have an increase in expenses from that side, and that is already included in our guidance.
Ernesto María Gabilondo Márquez: And any comments on how much of the OpEx will be related to technology costs, advertising and your 3 initiatives, Nequi, Wompi, Wenia?
Mauricio Botero Wolff: Well, the most significant figures would be the figures from capital that I just mentioned for the digital companies. But the breakdown of the general expenses, I would say the main lines are, of course, IT investments, also things related with fixed assets and everything that involves the physical distribution network, but also for correspondent banking, the mobile digital channels, but we can offer you a more explicit breakdown after the call.
Operator: Our next question comes from Brian Flores with Citibank.
Brian Flores: My first one is a follow-up on Yuri's question on taxes. I just wanted to confirm the number you said for the effective tax rate is the same as last year. What I mean by this is close to 30%. I understood that it was a bit higher. I think it was around 35%, 36% for -- in your guidance, right? And then if I can, my second question, just wanted to understand on Nequi because in your consolidated fee income growth of 10% year-over-year, how much of this could you attribute to Nequi? I just wanted to know if, obviously, you're providing more details on the stand-alone operation, you provide guidance now. So I just wanted to understand if at some point, we should see a stand-alone efficiency ratio too for Nequi?
Juan Uribe: Thank you, Brian. Let me give you some comments about Nequi and then I will pass Mauricio for the taxes question. As you know, Nequi, now it's operating under the umbrella of Bancolombia. And the figures of Nequi are improving. We mentioned that it already passed the breakeven point last quarter and the numbers are very good. I mean in terms of loans, it's COP 1.7 trillion in outstanding loans and that's around 700,000 clients. The interest rate in the case of Nequi is very close to the maximum rate that we can charge. So it's close to 25%. And the cost of funds in the case of Nequi is very low. It's very low. So you know that we fund Nequi mainly with savings accounts that with our cost of funds very close to 0. So the margin -- the financial margin of Nequi is very high. So also, it's going to know that we announced that we are in the process of separating Nequi, and we are expecting to have that operation conclude in the third quarter of this year. So you will see Nequi as a separate entity in Grupo Cibest, we expect by the third quarter or maximum for the fourth quarter. So you will have the whole information of Nequi as a separate entity. But what we can say is, on the numbers that we have under the umbrella of Bancolombia, Nequi is performing very well. It's -- the loan book is growing and now we reach profitability. Mauricio?
Mauricio Botero Wolff: Yes. Brian, in terms of taxes, is as you just mentioned. So the tax rate for 2026 is in line with the one from 2025, plus COP 650 billion from the extra tax rate decree, which is under the analysis of the courts. So if you combine those, that's when you get to the 35% rate approximately that you just mentioned.
Operator: And our next question will come from Carlos Gomez with HSBC.
Carlos Gomez-Lopez: I wanted to ask you -- first congratulations on the results and on the conclusion of the progress in the disposal of Panama. So I wanted to ask you, looking forward, not 1, 2, but more like 5, 10 years from now, how do you see the group evolving? Do you think you will concentrate more in Colombia? Do you think you will expand more in Central America, perhaps go back to retail in Canada through electronic means or Nequi or something? Do you see yourself more in Venezuela or the Dominican Republic? How do you think the group is going to evolve over the next 5 or 10 years? And again, does that mean that we should expect to continue to invest? Or we should see more that the focus is on shareholder return and therefore to return capital as fast as possible to shareholders?
Juan Uribe: Thank you, Carlos. We created Grupo Cibest in order to, I remind you, with 3 main goals. One is to have a more efficient way of managing capital. The other is that we could have more flexibility on our corporate evolution and also that we can complement our financial services. So to answer directly your question, we see ourselves developing as a Latin American financial group with presence in several countries, not necessarily with operations, a full banking operations, but leveraging our digital capabilities. So definitely, we see ourselves growing, growing in Latin America, and that's why we are investing at this point developing those digital capabilities and Mauricio mentioned that we are having our plans fund those operations in order to continue developing those capabilities that allow us to move in the spectrum of payments, also on digital banking again, we are also developing capabilities as a corporate investment bank possibility. So we will continue growing, but we need to balance that growth with returning -- we're giving the returns our shareholders are expecting. And we have declared that we will target an ROE around 17%, 18%. So with that target, so we will continue returning to shareholders what they are expecting in terms of ROE, but we will continue expanding our footprint. We -- as you know, in Colombia, we have a market presence that is important. So in Colombia, we will complement our services with other digital operations. And in other countries, we will look for opportunities even organic or inorganic possibilities in the mid- and long-term, Carlos.
Operator: And we'll go next to Alonso Aramburú with BTG.
Alonso Aramburú: I wanted to ask about, there's a recent announcement from the government regarding a proposal to, I guess, force lending from banks to fund emergency spending. I don't know if this is something already approved. Can you give us some color on this? And what would be the impact for Bancolombia?
Juan Uribe: Thank you, Alonso. That is not something that is approval now. There was -- there are some comments coming from the government that they are considering the possibility of mandatory investments for the financial services, but there is not yet an official document or an official issue about that particular tax. So as you know, there are discussions about equity tax for legal entities in Colombia. And also, they mentioned the possibility of those mandatory investment, but there is not an official document yet about that. So we will expect that to happen this week to have the official document decree from government announcing what they are going to do regarding the taxes that they are planning under these new economic emergency that they declared 3 weeks ago.
Alonso Aramburú: Okay. And any estimate on what could be the impact? Did they declare -- I don't know if they mentioned some parameters about this forced investment. So any potential estimate you can have on the potential impact of this?
Juan Uribe: It's difficult to know because as -- just to elaborate a little bit on those mandatory investments, the instrument is that they ask the financial institutions to invest in government papers. And then they direct those proceeds to specific sectors. But it's very difficult to have an opinion if we don't have what is the amount that they are planning and what is the interest rate that those papers are going to earn, and we don't have that information. So I'm not, at this point, with -- I don't have at this point enough information to have a position, Alonso.
Operator: And this now concludes our question-and-answer session. I would like to turn the floor back over to Juan Carlos Mora for closing comments.
Juan Uribe: Before closing, I want to highlight the strong results achieved in 2025, which underscores our strategic progress. With this, we invite you to join us for the upcoming first quarter results conference call. We look forward to your participation. We wish you a very good day.
Operator: Ladies and gentlemen, thank you for your participation. This does conclude today's teleconference. You may disconnect your lines, and have a wonderful day.